Operator: Good day, and thank you for standing by. Welcome to the PAA and PAG fourth quarter 2025 earnings call. At this time, all participants are in a listen-only mode. After the speakers' presentation, we'll open up for questions. To ask a question during the session, you will need to press 11 on your telephone. You'll then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that today's call is being recorded. I would now like to hand it over to your speaker, Blake Fernandez, Vice President of Investor Relations. Please go ahead.
Blake Fernandez: Thank you, Victor. Good morning, and welcome to Plains All American Pipeline, L.P. fourth quarter 2025 earnings call. Today's slide presentation is posted on the Investor Relations website under the News and Events section at ir.plains.com. An audio replay will also be available following today's call. Important disclosures regarding forward-looking statements and non-GAAP financial measures are provided on Slide two. An overview of today's call is provided on Slide three. A condensed consolidating balance sheet for PAGP and other reference materials are in the appendix. Today's call will be hosted by Willie Chiang, Chairman and CEO and President, and Al Swanson, Executive Vice President and CFO, along with other members of the management team. With that, I'll turn the call over to Willie.
Willie Chiang: Thank you, Blake. Good morning, everyone, and thank you for joining us. Earlier this morning, we reported fourth quarter and full-year adjusted EBITDA attributable to Plains of $738 million and $2.833 billion, respectively. 2025 was a pivotal year for Plains. The market environment presented multiple challenges including geopolitical unrest, actions from OPEC to increase oil supply, and uncertainty on the economic impact from tariffs. As highlighted on Slide four, despite these distractions, we remain focused on transitioning to a pure-play crude company, which also serves as a catalyst to streamline our operations and better position Plains for the future. This transition is accelerated through the sale of our NGL business, along with the recent acquisition of the EPIC pipeline now renamed Cactus III. These transactions enhance the quality and the durability of our cash flow stream while improving distributable cash flow and positioning us well for future market cycles. 2026 will be a year of execution and self-help, with a focus on three initiatives. First, we remain on schedule to close the NGL divestiture near the end of the first quarter, pending Canadian competition approval. Second, we're integrating the recently acquired Cactus III pipeline and expect to drive synergies related to that system to improve EBITDA. And third, we're streamlining the organization with a focus on efficiency and improving our cost structure. Over the past several months, we have advanced our streamlining initiatives and are targeting $100 million of identified annual savings through 2027, with approximately 50% expected to be realized in 2026. The key drivers of these efficiencies are outlined on Slide five and include reducing G&A and OpEx to reflect a more simplified business, consolidating operations, and exiting or optimizing lower-margin businesses. One example that illustrates our focus on higher-margin businesses is the sale of our Mid-Continent lease marketing business in 2025 for a total consideration of approximately $50 million with minimal impact to EBITDA. This sale removes working capital needs associated with line fill, simplifies operations with an improved cost structure while adding long-term contracts to our business. While this transaction is relatively small, it illustrates an opportunity that we have executed on to streamline our business, improve margins, and do more with less. On the bolt-on acquisition front, in January, we acquired the Wild Horse Terminal in Cushing, Oklahoma, from Keyera for a net cash consideration of approximately $10 million, which includes an upward purchase price adjustment of approximately $65 million upon the closing of the pending NGL divestiture. This asset adds approximately 4 million barrels of storage adjacent to our existing terminal assets and is expected to generate returns well above our internal thresholds. Looking to 2026, and as highlighted on Slide six, we are providing adjusted EBITDA guidance of $2.75 billion net to Plains at the midpoint plus or minus $75 million, with an oil segment EBITDA midpoint of $2.64 billion net to Plains, which implies a 13% growth year-over-year in the crude segment. We expect the $100 million of EBITDA from the NGL segment assuming the divestiture closes at the end of the first quarter and $10 million of other income. We forecast Permian crude production to be relatively flat year-over-year in '26 with overall basin volumes remaining about 6.6 million at the end of the year, similar to 2025 levels. That said, we expect growth to resume in 2027 underpinned by more constructive oil market fundamentals driven by ongoing global energy demand growth and diminishing OPEC's spare capacity. Regarding capital allocation, we recently announced a 10% increase in the quarterly distribution payable on February 13 for both PAA and PAGP. On an annualized basis, the distribution represents a 15¢ per unit increase from the November level bringing the annual distribution to $1.67 per unit representing an 8.5% yield based on the recent equity price for PAA. With the simplification and streamlining of our business, stable cash flow contributions from the Cactus III acquisition, and reduced commodity exposure following the NGL sale, we are modestly reducing our distribution coverage ratio threshold from 160% to 150%. This reflects improved visibility for our business, better alignment with peers, and it paves the way for future distribution growth while still maintaining a prudent level of coverage. Our targeted annualized distribution growth remains 15¢ per unit, and the lower distribution coverage gives us more confidence in our ability to deliver increasing returns to our unitholders. Al will cover specific CapEx guidance for the year, but we expect a meaningful reduction in gross spending versus 2025 levels and maintenance capital will naturally decrease following the NGL divestiture. We remain committed to our efficient growth strategy, generating significant free cash flow, optimizing our asset base, maintaining a flexible balance sheet, and returning cash to unitholders via our disciplined capital allocation framework. With that, I'll turn the call over to Al to cover our quarterly performance and other financial matters.
Al Swanson: Thanks, Willie. Slide seven and eight contain adjusted EBITDA blocks that provide additional details on our performance. For the fourth quarter, we reported crude oil segment adjusted EBITDA of $611 million, which includes two months of contribution from the Cactus III acquisition partially offset by a full quarter impact of recontracting on our long-haul systems. Moving to the NGL segment, we reported an adjusted EBITDA of $122 million reflecting a seasonal uptick that was moderated somewhat by warm weather impacts on sales volumes and relatively weak frac spreads. A summary of 2026 guidance and key assumptions are on Slide nine. We remain focused on making disciplined capital investments and expect to invest approximately $350 million of growth capital and approximately $165 million of maintenance capital net to PAA in 2026. Key drivers for EBITDA year-over-year include full-year contributions from acquisitions primarily Cactus III, efficiency and optimization gains partially offsetting the impact of the NGL sale and recontracting as provided on Slide 10. Importantly, I would note that while headline EBITDA will decline slightly from the divestiture, distributable cash flow is expected to increase approximately 1% driven by lower corporate taxes and maintenance capital. As illustrated on Slide 11, we remain committed to generating significant free cash flow and returning capital to unitholders while maintaining financial flexibility. For 2026, we expect to generate approximately $1.8 billion of adjusted free cash flow excluding changes in assets and liabilities and excluding sales proceeds from the NGL divestiture. With regard to the potential special distribution previously communicated, we expect the Cactus III acquisition to mitigate a significant portion of the expected tax liability to unitholders resulting from the NGL sale. From this perspective, we now expect a special distribution of 15¢ per unit or less after closing and pending board approval. Regarding our balance sheet, in November, we issued $750 million senior unsecured notes consisting of $300 million due in 2031 at a rate of 4.7% and $450 million in 2036 at a rate of 5.6%. Proceeds were used to partially fund the EPIC acquisition. Additionally, in the fourth quarter, we paid off the $1.1 billion EPIC term loan assumed as part of the EPIC acquisition by issuing a $1.1 billion senior unsecured term loan at BAA. As a reminder, since we invested $2.9 billion to acquire Cactus III, the majority of the proceeds from the NGL sale will be used to reduce debt. Post-closing, we expect our leverage ratio to trend toward the middle of our established target range of 3.25 to 3.75 times. With that, I'll turn the call back to Willie.
Willie Chiang: Thanks, Al. 2025 is a transformational year for Plains. And we're taking steps to further strengthen our company for the future. Despite a complex macro backdrop, we proactively executed several major transactions and implemented efficiency initiatives to position Plains as the premier North American pure-play crude oil midstream company. 2026 will be a year of execution and self-help as we focus on closing the NGL sale, advancing our efficiency initiatives, and driving synergies on the Cactus III system. Collectively, these actions will help position Plains more competitively for the future. I also want to take this moment to express thanks to our Plains team whose dedication and professionalism showed through and through as we also achieved our best-ever safety performance as measured by our best TRIR safety rate as well as the lowest severity of injuries as measured by total loss workdays. In closing, I would like to reiterate that we remain committed to our efficient growth strategy, simply stated, generate significant free cash flow, maintain a flexible balance sheet, and return capital to our unitholders. I will now turn the call back over to Blake to lead us into Q&A.
Blake Fernandez: Thanks, Willie. As we enter the Q&A session, please limit yourself to two questions. For those with additional questions, please feel free to return to the queue. This will allow us to address questions from as many participants as in our available time this morning. The IR team will also be available after the call to address any additional questions you may have. Victor, we're ready to open up the call, please.
Operator: Thank you. And to answer the question, you may press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please stand by. We provide the Q&A roster. Moment for our first question. First question will come from the line of Manav Gupta from UBS. Your line is open.
Manav Gupta: Good morning, guys. I actually wanted to focus a little bit more on the Cactus pipeline and all the synergy benefits you're talking about. And, also, I know it is not the right macro, but, eventually, the macro will turn, and I'm trying to understand what's your ability to expand Cactus III without actually putting more pipe in the ground. If you could talk about some of those factors. Thank you.
Jeremy Goebel: Manav, good morning. It's Jeremy. First on the synergies question, the $50 million of synergies we disclosed we believe we're already on run rate for that now. Roughly half of that was associated with G&A and OpEx reductions as well as removing things like insurance and other things that the pipeline had to keep because it was a private equity-backed entity. Those are gone. So half the synergies were achieved in the fourth quarter as we shed those costs. The other 25% are associated with filling the pipeline with supply that we have, doing shorter-term deals, just to build out available capacity. Associated with quality management. Those were ramping up now. So we would imagine during the first quarter, we'll be substantially there on the run rate for the $50 million, and we should hit that number this year. As to your second question on the ability to expand the pipeline, our team, as we recontract the base pipeline to add term and improve rates for that uncontracted capacity now. In parallel, Chris's team is taking a look at all the capital-efficient ways to optimize our upstream connectivity, our downstream connectivity, and then for incremental expansions of the pipeline that don't require new pipe and that do require new pipe. So we're looking at the most capital-efficient ways to do that. We should finish that during the first half of this year. And in parallel, like I said, we are recontracting for term the rest of the pipeline then we'll be in a position to discuss expansions with our customers, etcetera. But first, it's stabilize the base pipeline, and then it's look at capital-efficient expansions from there. In increments that make sense to grow with the base.
Willie Chiang: Manav, this is Willie. I think one key point that Jeremy highlighted is it's not a binary expansion at one time. We've got an opportunity to do it in phases and really match the capacity to demand that's out in the market.
Manav Gupta: Perfect. My very quick follow-up is can you also talk a little bit about the, you know, $100 million in cost savings through 2027 efficiencies and other initiatives that you are undertaking at the franchise level. Thank you.
Chris Chandler: Good morning, Manav. This is Chris Chandler. So the sale of our NGL business in Canada really creates a unique opportunity for us to rethink how our company is structured and organized. So that business, as you might expect, carried a fair amount of operational and commercial complexity. That simply won't exist once the assets are sold. So we're taking a fresh look, from top to bottom at how we're organized, where we're located, a fresh look at, you know, some of the maybe non-core businesses that might be better in somebody else's hands or, for example, outsourced to third parties that could do it more efficiently. So it's really an across-the-board look that, you know, you don't get the opportunity to do this very often. As far as the capture rate, it's a $100 million run rate by the end of 2027. So we expect to achieve $50 million of that in '26. Another $50 million in 2027.
Manav Gupta: Thank you so much for taking my questions. I'll turn it over.
Blake Fernandez: Thanks, Manav.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brandon Bingham from Scotiabank. Your line is open.
Brandon Bingham: Hey. Good morning. Thanks for taking the questions. Maybe first, just looking at the Permian Basin outlook and kind of some of the commentary you just went through, just trying to harmonize it with some of the larger producer commentary from recent earnings calls. How is the sentiment among your producer customers? And maybe what are some of the current discussions like assuming that $60-$65 WTI scenario in your guide?
Jeremy Goebel: Good morning, Brandon. This is Jeremy. First, I would say that $60 to $65 is 10% higher than it was a few weeks ago. So it's a very volatile time period. But what I would say is the larger the producer, the less sensitive they are to the plus or minus $5 swings that we used to incur. So I'd say cautiously optimistic. Because if you look consistently across the producer landscape, what used to hold the Permian Basin flat was 325 rigs with less production. Now it's 230 rigs, so you can see those efficiencies are working through the system. There what I would tell you is that they're working to preserve an inventory. They're working to continue to get more efficient with how they develop it. Improve recoveries. All of those things are good for stabilizing earnings for us. And we remain consistent that while 2026 may be flattish, we think a more constructive environment for 2027 and beyond for growth. And that's very consistent with taking a pause, getting better at doing things, becoming more efficient. So that continues to be the case for us.
Willie Chiang: And, Brandon, this is Willie. Think a little couple other things to point out. You know, as we develop these basins, it's an exercise in constraint removal. So one observation is gas has been tight there's a number of projects that are there to alleviate that. And when you alleviate the gas constraint, actually, the breakevens for the producers improve, which allows them to be able to be more durable going forward. And I think just to reinforce your point, you know, we've had some consolidation in the upstream section with a couple of producers recently announced. And for us, we like that because it bolsters the producer environment to develop the basins in a more thoughtful way. And I'm actually very, very encouraged by some of the technology improvements that some of the majors are focused on resource recovery. So when you factor all that in, we're very confident and constructive on the ability for the Permian to be a key part of the incremental supply for the world for quite some time. And then would expect growth to come back as fundamentals improve.
Brandon Bingham: Very helpful. Thank you. And then maybe just looking at the capital allocation priorities, would be curious to hear if maybe there's a shift in any of them versus what they have been. And specifically thinking around the payout ratio is that 150% level more so to just continue the bolt-on strategy or other priorities? Or is there room to maybe further reduce it and maintain that 15¢ per unit distribution growth cadence a little bit longer?
Al Swanson: Brandon, this is Al. Our view on capital allocation has not changed. I think I noted in the prepared comments, there's two ways to look at it. We got the net proceeds coming from the divestiture. We've really redeployed that already in the Cactus III. So the proceeds there, I'll go to pay down debt. When you look ahead post that, it's all the same viewpoints that we had before. Our primary way of returning cash to shareholders is gonna be through distribution growth. That's part of the 160 to 150. We're comfortable with the 150 level. We think it's actually consistent with a large number of our peers. And so we'll be looking to continue looking at bolt-ons where they make economic sense. Distributing cash through distribution growth. Secondly, we do have some preferred securities as well as common unit repurchases. Those will be more on an opportunistic basis.
Brandon Bingham: Very helpful. Thank you.
Willie Chiang: Thanks, Brandon.
Operator: One moment for our next question. Our next question comes from the line of Michael Blum from Wells Fargo. Your line is open.
Michael Blum: Thanks. Good morning, everyone. Maybe you could stay on the distribution coverage conversation. I'm really just wanting to get a little more of your thought process on you landed at 1.5 and know, not 1.4 or 1.3. Just exactly there any kind of formulaic way we should be thinking about this? You know, you mentioned some of your peers, but, you know, I could take one peer off the top of it. Top of my head that, you know, says 1.3 is the right coverage. So just trying to get a little more insight into your thinking on that.
Willie Chiang: Willie, this is Willie, Michael. You know, when you think about how we came up with the $1.60, right, that was in November '22. And it was intended to be a coverage threshold that was conservative, reflecting in our focus on the balance sheet, I wouldn't try to read too much into the delta. Other than at $1.50, it's still a conservative approach to distribution. And for us, it sets a nice balance for us as we look forward on the ability for multiyear distribution growth. So I would look at it as kind of a reset to the a modest reset, consistent with our peers. As we go forward, we think we have a much more durable cash flow stream, and it's really set there to allow us to feel good about our multiyear distribution growth.
Michael Blum: Got it. Thanks for that. And then just wanted to ask on the growth CapEx of $350 million I guess, twofold. One, can you give us any details about any discrete projects that make that up or just some color around what's in that number? And then is this a good way to think about a run rate going forward now that you're really focused in the current markets? Thanks.
Chris Chandler: Good morning, Michael. It's Chris Chandler. So, yes, our guide for 2026 is $350 million. That brings us into our more typical $300 to $400 million range, which do think is a good number going forward absent any large investments, which we would call out separately. When I think about how we got to $350 and comparing it to prior years, we, of course, finished up the NGL Fractionator Expansion Last Year In Canada. We finished up a number of Permian crude oil infrastructure projects, and we finished a project to unload Uintawax crude in the Mid Continent. So those obviously all brought the number down on a year-on-year basis. As far as how we build up into the 350, we have a healthy Permian program that's ongoing. In 2025, we connected more wells than we connected in 2024, and 2026 looks to be on a similar pace so far. We're also of course, doing some modest investment to integrate the Cactus III pipeline. To capture synergies as Jeremy mentioned, with additional connectivity and opportunities for quality optimization and cross-connecting between our other cactus pipes. For energy efficiency. And then we see some good opportunities to potentially invest capital into our Canadian crude oil business. We're pursuing a number of potential contracts that would underwrite expansions there and have assumed some of that moves forward in 2026 as part of our capital spending.
Michael Blum: Thank you.
Chris Chandler: Welcome.
Operator: Thank you. One moment for next question. Our next question will come from the line of Jeremy Tonet from JPMorgan Securities. Your line is open.
Jeremy Tonet: Hi. Good morning. Thanks for the color today. I just wanted to take a step back here, and there's been some geopolitical developments recently, you know, particularly up, you know, what's been happening in Venezuela. And it seems like there could be a domino effect in a lot of different directions of what happens. So I just wondering if you might be able to share any thoughts on how things could unfold, how could it impact Plains flows on assets, utilization, or even repurposing of assets?
Jeremy Goebel: Hey, Jeremy. Jeremy Goebel. How are you? I was calling I mean, the idea around Venezuela, think it was the initial response of 50 million barrels sold into The US Gulf Coast, a significant portion. Do you restructure some of the slates and get consistent with what maybe Pascagoula or the St. James Refiners or the Houston Refiners that run that immediate impact was widening of Canadian differentials in the Gulf Coast the other heavy sour differentials, the Mid Continent and Canada. That creates opportunities more opportunities for quality optimization, cross-border flows, and other movements. Going forward, if you look out a few years and maybe add two to three hundred thousand barrels a day, that might change some buying habits that shouldn't be enough with the commodity prices where they are to change Canadian flows materially. They'll have to price to move. So that would probably be a little bit wider Canadian differentials than otherwise would have been. It would take materially more than that to probably repurpose pipelines. But if you look if you added a million barrels a day, that does different things. Right? That now may push Canadian barrels to the West Coast. That may create other to repurpose pipes from the Gulf Coast to other markets to feed heavy sours into those. So I think it's there's no easy answer because first, you need stability in the government. You substantial reinvestment. Near term, I think it creates some opportunities around quality management. And use of our cross-border pipes. Intermediate term, it creates some logistical opportunities for us as well. But longer term, I think it's gonna take substantial investment in time repurposing, but we're certainly monitoring and paying attention to it.
Jeremy Tonet: Got it. That's very helpful, Dan. And one other high-level question if I could. Plains has been active in, you know, industry consolidation bolt-on M&A, what have you over time. And I was just wondering, from your perspective, Willie, where do you think what inning are we in right now for consolidation in the crude oil infrastructure industry, bolt-on, larger consolidation, what have you?
Willie Chiang: Well, I would say it's not a perfectly smooth trajectory if you think about consolidation. And you know, and specifically for us, we've made a couple of large transactions. Our focus right now is really to execute on those. We look at all kinds of opportunities that are out there. So you can be assured that as we look at things, we'll stay capital on being able to acquire things. But I do think there will be more opportunities that are out there. And, frankly, you know, to your earlier question, when you think about the macro and you look at the North American infrastructure, you asked about Venezuela. Everyone has a different outlook and view of what might happen there. I personally think it's gonna be very challenged to get a amount of growth out of Venezuela, which leads, know, leads us to a more constructive, crude oil environment going forward. When you think about the infrastructure that we have in ground and the ability to repurpose, if it makes sense, there's a lot of need opportunities there. And know, I mentioned this on one of the last calls. If you think about the basins that you wanna be involved in, the Permian Basin, obviously, is key, close to markets, growth, low breakevens, but you also have Western Canada. And everyone's aware of the desire for them to go to the West Coast. And, you know, we stay very involved in potential of bringing more barrels down to the US. So there's a lot of need opportunities, and you can expect us to stay on track at looking at those with financial discipline.
Jeremy Tonet: Got it. That's helpful. Thank you.
Willie Chiang: Thanks, Jeremy.
Operator: Thank you. One moment for our next question. Next question will come from the line of Keith Stanley from Wolfe Research. Your line is open.
Keith Stanley: Hi. Good morning. Wanted to ask on coverage. So the release specifically says that the change in threshold to 150% provides a multiyear runway for 15 cent increases. I wanna confirm, should we interpret that as the plan would be 15 cent increases for at least two more years? And if that's right, it implies a fair amount of growth. Since, you know, you'd have to stay above that 150%. Can you just talk to some of the growth drivers you see in the next twenty-seven and twenty-eight that would support that?
Willie Chiang: Yeah, Keith. This is Willie. You're very astute as you did your calculations. The message we wanted to send is we have the ability to continue to grow beyond 2026. If you think of our EBITDA this year, we've got a $100 million of NGL contribution. And if you think about '27 plus, we've got self-help that chews up easily half of that. Our comments earlier about additional growth in the Permian gives us confidence in that. And, we know we're gonna be able to extract additional efficient growth synergies out of that. So out of our asset base. So we are telegraphing that we think we can grow beyond 2026.
Keith Stanley: Okay. Great. And then one other coverage one. So you've talked to the rationale for 150% of DCF. When you assess where you wanna go from a coverage perspective, do you look at it on a free cash flow basis too? Because you have pretty steady $300-$400 million a year of investment capital. Just how do you look at it, I guess, on a free cash flow perspective as well?
Al Swanson: Keith, this is Al. We've really set it based on DCF. In the view that the DCF coverage of say, one sixty or now one fifty would allow us to fund what we would call routine organic capital, the $300 to $400 million kind of range that we think is more of a normalized level. Plus a small bit for bolt-ons. So we think of it more of the coverage funding routine investments. Clearly, if we see investments that are outside of what is routine or larger, that we'll use the balance sheet for that. So it's not a precision on free cash flow. It's really a percentage of free cash flow, but we are allowing for that kind of self-funding of what we think is a routine kind of profile of investment capital.
Keith Stanley: Thank you.
Willie Chiang: Thanks, Keith.
Operator: Thank you. One moment for our next question. Next question comes from the line of John McKay from Goldman Sachs. Your line is open.
John McKay: Hey, guys. Thank you for the time. I wanna touch on the long-haul Permian volume guidance for a second. It's a little maybe if you can just talk a little bit about the year-over-year bridge. I think it's a little stronger than what we were looking for, but maybe the overall margin intact. So a little bit of that volume versus margin mix and bridging us to that pretty high 26 number. Thanks.
Jeremy Goebel: John, good morning. It's Jeremy. There's three components to it. First, you've got the full-year run rate of the Cactus III integration into the system. Second, you've got a significant uptick in contracted capacity on the basin pipeline system. And so that would explain some of the lower margins just because the rate from Midland to Cushing is lower than that to the Gulf Coast. And then third, you'd have the BridgeTex pipeline full-year run rate.
John McKay: That's very helpful, Jeremy. I appreciate that. Second one, maybe just looking a little more near term. What did you guys see in terms of storm impacts on volumes across the board? I think that the visibility on the gas side has been clear. But maybe just walk us through kind of what you saw the last week or two and kind of where the recovery stands right now.
Jeremy Goebel: Thanks, John. To start with the recovery, that's already happened. So it was roughly a seven to ten-day period. When you had back-to-back freezes. A lot of that impacted the gas infrastructure, made it difficult. And once gas infrastructure is impacted, it shuts in the crude. So we saw almost like a reverse check mark type recovery went down and slow to come back. I would say that basin as a whole probably lost 10 to 12 million barrels production. The crude side and NGLs may be half that. Over that seven to ten-day period, but we're back we're out of that trough and have been for a few days.
John McKay: Super interesting. I appreciate the color. Thank you, guys.
Jeremy Goebel: Thank you. And that's all been considered in our guidance. So just for the record there, that impact has been considered.
Operator: Thank you. Our next question will come from the line of Sunil Sibal from SIP Global. Your line is open.
Sunil Sibal: Yeah. Hi. Good morning. Thanks for the time. Most of my questions have been hit, but just a couple of clarifications. So in regards to your lowering of distribution coverage to 150%, So, obviously, you're in a more contracted cash flows coming in through Cactus. But I was kind of curious if there is anything else in terms of, you know, how you manage your other assets in terms of contracting that we should be thinking about there.
Al Swanson: Sunil, this is Al. No. I mean, we are comfortable with the one fifty. We think the crude segment is a stable cash flow stream. Clearly, the epic contract is highly contracted. But as we look at it, we think the one fifty coverage is actually still remains a conservative coverage level. Relative to our company, and we also think it funds what I described as a routine kind of investment capital going forward.
Sunil Sibal: Okay. Thanks for that. And then I think in your prepared remarks, you mentioned about some storage acquisition, the Wildhorse Terminal. Could you walk through that a little bit again, I think you said 4 million barrels of storage. But what's the approximate cost for that?
Jeremy Goebel: Sunil, hi. This is Jeremy. Good morning. What I would say. So that's four to 5 million barrels for functional right now. It's adjacent to our existing facility. Our net cost is in his to be $10 million. It'll may take us some time to integrate the facility. It's got an existing operation today. We feel like we have sufficient demand. Our existing Cushing facility is fully contracted to downstream partners. We would just think of this as an addition to that business with a low-cost basis. For us. We could not build those tanks for $10 million. So we're excited about the opportunity to grow our relationships with our customers.
Sunil Sibal: Okay. Thanks for that.
Operator: Thank you. One moment for our next question. Our next question will come from the line of AJ O'Donnell from TPH. Your line is open.
AJ O'Donnell: Hey. Thanks for your time, everyone. Just one question for me. I'm not sure where the developments of Venezuela kind of fit on the timeline of your budget. But just curious as you sit here today and think about where dips are and how quality dips have moved. Just curious how you think about the market-based opportunities trending above or below kind of that $50 million mark that you outlined in your deck?
Jeremy Goebel: AJ, good morning. What I would say is the current market reflects what our budget is. So those happened towards the end of last year, giving us the opportunity to lock in spreads across the board. So it significantly derisked the opportunity for us, and they moved out. So things move all the time. But when you have a movement like this, it gives you the opportunity to lock some things in. So I'd say it firmed up part of our plan.
AJ O'Donnell: Okay. Thanks for the color.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jeremy Tonet from JPMorgan Securities. Your line is open.
Jeremy Tonet: Hi there. Thank you for squeezing me back in. Just a couple quick ones if I could add. We talked a good amount about the 60% of business at the Permian, but just wondered if you could provide maybe a little bit more color on the other 40% of business and what trends you're seeing there. And I get that there's cross currents or it's influenced by, you know, cost cut savings you're seeing there. And that will have some impact. But just how do you think about volumes and EBITDA for that other 40% of business kinda trending over time?
Jeremy Goebel: Jeremy, good morning. What I would say is let's start from the north. Excited about Canada, as Chris mentioned. Opportunities around our rainbow system to expand our rangeland system, more activity. The rest of the business is largely flat in Canada. So if you take our Rockies position, everything North Of Cushing and West Of Cushing, that's relatively stable and contracted, so flattish would be the view of that position. Cushing throughput continues at all-time highs year over year for us. So we think that those assets in Cushing and the refinery feed assets consistent with the refiners' performance, that should perform well this year. The South Texas is really somewhat of an extension of the Permian Basin business. It's a wellhead gathering business trucking to support it. And so that stepped down from the cactus contract did impact that business as well. As far as volumes and opportunity set following Ironwood Cactus III, and the integration with our legacy system, we're excited about what we see in South Texas. Now East Of Cushing, the cap line system and Liberty in Mississippi, those are assets we're looking to fill longer term and working on some longer-term contracting. And St. James continues to perform and with the expectation of growth in the Uinta Basin over the next eighteen months to continue to come through to our St. James facility. So think we've got exciting things across that platform. It's not as volatile, and it's not much growth in the other, but you'll see some potential capital investments there as we get contracts to support.
Jeremy Tonet: Got it. That's helpful there. Thanks. And, Jim, just one last one if I could. As it relates to the sensitivities for the 100,000 barrels per day change in total Permian production having a 10 to 15 million impact, on the business. Just wondering if there's any more color you could provide there, if, how that sensitivity might change if volumes grow over time, is it linear or could there be an inflection realizing there's an interplay with differentials there? But just any other color, I guess, on how that could fall out.
Jeremy Goebel: Jeremy, here's what I'd say. I think the business is very large. Right? So when we talk a 100,000 barrel a day out of a basin, that's over 6 million barrels a day, the impact of the gathering system is gonna be relatively modest. So that's 10 to 15 million of 100,000 barrels a day probably still applies. The integrated benefit may grow over time. I think that's more of the impacts of the price to go to Midland and what could change it might be on the margins, some differentials around WTI. But I think just because of the size of that business, it's probably gonna stay in a very tight band. The impact might be to the long-haul margin since we've been reset to what is the new market. Our expectations would be those would widen out over time. So you might see more of an impact to the long-haul business.
Jeremy Tonet: Got it. That's helpful. All you've been there. Thanks.
Willie Chiang: We'll see you next time, Jeremy.
Operator: Thank you. I'm not showing any questions in the queue right now. I will now turn it back over to management for closing remarks.
Blake Fernandez: Thanks, Victor, and thanks to all of you for dialing in. We look forward to visiting with you on the road, and I hope you have a safe weekend.
Operator: Thank you. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.